Operator: Good morning. Welcome to the T-Mobile U.S. Second Quarter 2015 Earnings Call. Following opening remarks, the earnings call will be open for questions via conference line, Twitter or text message. I would now like to turn the conference over to Mr. Nils Paellmann, Head of Investor Relations for T-Mobile U.S. Please go ahead, sir.
Nils Paellmann - Vice President-Investor Relations: Thank you. Welcome to T-Mobile's second quarter 2015 earnings call. With me today are John Legere, our President and CEO; Braxton Carter, our CFO; and other members of the senior leadership team. Let me briefly read the disclaimer. During this call, we make projections and statements about the future performance of the company, which are based on current expectations and assumptions on Form 10-K includes risk factors that could cause our actual results to differ materially from the forward-looking statements. Reconciliations between GAAP and the non-GAAP results we discuss in this call can be found on the Investor Relations page of our website. Let me now turn it over to John.
John J. Legere - President, Chief Executive Officer & Director: Okay. Good morning, everyone. Thanks for joining us and Roger, we already have your message that you don't upgrade that next quarter. But welcome to second quarter Un-carrier earnings call as well as open Twitter conference. And once again, we're also providing a live video stream. So, you can watch all the action here in Seattle, if I just had to remind both Braxton and Mike they were on camera, because of the things that they were doing here on the side. We're generally going to go with the same Q&A approach – sorry, my mic wasn't on. So, just assume all the things I said before this were humorous and helpful. We'll generally go in the same Q&A approach as last quarter. And to accommodate your questions, the call will last and I say this up to 90 minutes. We certainly won't keep you that long and left there is a burning desire for asking questions. We'll take the questions on Twitter, text, and on the phone, so whichever style works for you. So as you probably know, the mood is good here because we had a fantastic quarter. And before I get into the Q2 results, I just want to share a little bit of an update over the past few weeks. We spent the summer making our signature moves even better with Un-carrier Amped. Our Un-carrier moves, I'm quite sure are already the best in the industry, but we always listen in any form of talking to our customers, so we always take action. Now, that's our philosophy, we never launch something in just forget it. We always listen, how to make things better and we decided to go forward and do it this summer. Now, starting on June 25, and in rapid succession, we launched, we launched one a JUMP! On Demand. Get the phone you want, when you want it at no extra cost. And this includes the industry's lowest monthly cost to get an iPhone 6, when you trade in a smartphone. Then we announced Mobile without Borders, extending coverage and calling to Mexico and Canada at no extra charge. So, now you get all of North America that's three countries of the price of one. And then an amazing family plan, 10 GB for All, where each and every family member on a four line gets 10 gigs of 4G LTE data per person, no sharing required just $30 a line. Now, just a couple of days ago, we amped up things with Apple. First, we amped up Un-carrier 6.0 just Music Freedom and added Apple music to our list of streaming music solutions. Now Music Freedom covers 95% of all streaming music in the U.S. with 33 services live at this point. Second, we've Amped up the industry's best iPhone offer and made it even better. You now get an iPhone 6 or 6 Plus with JUMP! On Demand if you do it by Labor Day and you can lock in monthly price on the next iPhone and get priority access when you buy your new iPhone, which is a big deal. So, it's kind of busy few weeks. We spent the summer giving more to T-Mobile customers, while as usual, our customers spent the summer doing the opposite. It's actually kind of depressing to watch them box in customers as they struggle to react to the Un-carrier revolution. Whether it's Verizon launching a totally lame discount on long distance to Mexico and Canada as their attempt to reach Mobile without Borders, or AT&T adding back a $15 activation fee for Next. Frankly, they almost make my job too easy and I appreciate that from them, keep it up. So not surprisingly, as the carriers punish their customers, those customers are fleeing to T-Mobile. Since we released our customer numbers, two of our competitors have announced their quarterly results, not surprisingly, it appears that we captured all of the industry's postpaid phone growth once again. With 760,000 branded postpaid phone net adds, we knocked it out of the park. Verizon was a distant second so far, we beat them just by a little or actually we beat them by 400,000 net adds, despite the fact that they tried hard to stem their losses with their geese commercial and some high porting bounties, and we can talk more about that in Q&A. And the distance between us and AT&T in terms of postpaid phone net adds, it was almost 1.1 million this quarter. Overall, we had 2.1 million total net adds in Q2 and one million branded postpaid net adds. Now, in four of the last six quarters, we've had over two million net adds, and it's the ninth consecutive quarter with over a million. In five of those, we had more than one million total branded postpaid nets and Q2 was the fourth quarter in a row with over one million branded postpaid net adds. We're winning customers now interestingly, we're keeping them, customers are staying; in fact, branded postpaid phone churn reminded at our record low level of 1.3%, down 16 basis points year-over-year. Our momentum continues going into the third quarter and it continues with positive porting against all of our competitors. We've had nine quarters in a row with overall positive postpaid porting ratios, and Q2 also marks the eighth consecutive quarter where postpaid porting ratios versus Sprint were greater than two to one. Customers are coming to the Un-carrier in droves and we're delivering strong, sustainable results. The results speak for themselves. Now, let's talk about the rapid expansion of the nation's faster 4G LTE network, which now reaches nearly 290 million people. We are ahead of our schedule to reach our year-end target of 300 million, we now cover 212 market areas with Wideband LTE and we're on track to be in more than 250 market areas by the end of the year. We're also way ahead of schedule on the deployment of low band 700 megahertz A-Block spectrum, which is already rolled out in 141 market areas with many big markets including New York and L.A. coming in the second half of 2015. Essentially, all markets with the 700 megahertz A-Block spectrum have now been cleared or have a path way to be cleared; again, well ahead of our earlier expectations. Now let me talk about MetroPCS, it's been less than 28 months since we joined forces with Metro and I'm pleased to announce that our network transition is complete. We've now reformed a 100% of the MetroPCS CDMA spectrum finishing the customer and network migration 2.5 years ahead of the original schedule. If you look at our competitors, it has taken others more than a decade to achieve what we accomplished in just two short years. Obviously, this sets us up to realize full network synergies with MetroPCS by early next year. And finally, some breaking news that just came out this morning that we're very, very proud of. T-Mobile is back on top in customer service with J.D. Power ranking T-Mobile number one in Wireless Customer Care. Congratulations to our customer service team who busted their butts to treat our customers well, and their problems every single day. We're rewriting the rules in the wireless industry and our Q2 results show the effects. Our results are rock solid all around both operational and financial. We've been very busy. But, we have no intention of slowing down either. Now, our CFO, Braxton Carter will provide you a quick overview of the key financial results. And then, we'll get to your questions. Braxton?
J. Braxton Carter - Chief Financial Officer & Executive VP: Hey, thanks, John, and good morning, everyone. Let me give you a quick snapshot of our financial results. But first, let me say that the thesis of turning T-Mobile into a growth platform, resulting in double-digit revenue growth translating the strong EBITDA and cash flow is certainly playing out as demonstrated in the second quarter. In the second quarter, we delivered industry leading growth across the board. Service revenues grew by 12%, while total revenues were up 14% year-over-year. And even with this incredible growth, adjusted EBITDA came in ahead of expectations at $1.8 billion, up 25% year-over-year and 31% sequentially. The adjusted EBITDA margin expanded from 26% in the second quarter of last year to 30% this year. Net income and earnings per share also came in strong with earnings per share of $0.42 in the second quarter, up from a loss of $0.09 in the first quarter. And as we previously stated, we'll be solidly profitable for the full-year 2015 in all remaining quarters. Based on these great results, we are increasing our postpaid net adds guidance to a range of 3.4 million to 3.9 million, while maintaining our adjusted EBITDA guidance of $6.8 billion to $7.2 billion and our cash CapEx guidance of $4.4 billion to $4.7 billion. To be very clear, our financial guidance excludes any benefit from the impact of JUMP! On Demand as it is too early to quantify this benefit. We intend to disclose the aggregate non-cash impact from JUMP! On Demand and Data Stash in future quarters. There was no significant impact on our financial results from JUMP! On Demand or Data Stash in the second quarter. In summary, we've delivered all around very strong financial results in the second quarter and maintain a very aggressive outlook for 2015. We won't stop. Now, let's get to your questions. You can ask questions via phone, text message, or via Twitter. We'll start with the question on the phone. Operator, first question please?
Operator: And we'll go to Mike McCormack with Jefferies. Please go ahead, sir.
Michael L. McCormack - Jefferies LLC: Great, thanks. And Braxton, I certainly appreciate the disclosure on the leasing impact, and also the true definition of free cash flow. So, much appreciated on that. I guess, on the first question, thinking about handset postpaid ARPU, you guys are making really good progression there. Just trying to get a sense for your thoughts on the back half, particularly as we have continued Data Stash reversal maybe in the fourth quarter more heavily, against fourth quarter potential promotions? And how we should be thinking about that progression of improvement in the year-over-year declines? And then the second question is on the secondary handsets. The JUMP! On Demand product or program should result in decent volumes coming back at you. I just want to get a sense for how comfortable you are, valuation for those secondary handsets coming in, and the available channels for you guys have to resell those into? Thanks.
J. Braxton Carter - Chief Financial Officer & Executive VP: Sure, Michael, first of all, let me thank you for the comments. I mean, we pride ourselves on being more transparent than all the other carriers. I don't know that anybody is really disclosing the non-cash impacts of leasing programs or rollover programs, and we think that transparency is important. And specifically on cash flow, we are at an inflection point. And when you look at cash flow from operations that we have very clearly laid out and improved our disclosures, you'll be able to track the progress on a quarter to quarter basis. And I think the appropriate way to look at it – this is a proxy for true operational cash flow. So taking into account, all changes in working capital, versus a simple free cash flow computation. But we do think it's appropriate to exclude the one-time decommissioning costs on the MetroPCS network, which will only occur through the end of this year, and you've seen our guidance out on that. So, from a pure operational standpoint, we are already generating true cash flow from operations, considering all changes in working capital. On the ARPU, I think it was one of the great stories this quarter. We were, I think, very transparent that we would see sequential, significant step-ups in ARPU, relating to the charge that we took a Data Stash in the first quarter. And we've quantified that in the Investor Factbook, that excluding the impact of Data Stash, we actually had an 1% underlying increase in ARPU. And what that shows is the overall strength of our underlying ARPU. And when you look at the other metrics that we disclosed, ARPU in the per account metrics, we actually are hitting all-time record highs in all of those metrics. And our guidance of – increases in ARPU after the first quarter, we certainly still expect stabilization to increase in ARPU throughout the year. The one caveat that I will tell you, is that that we do believe that family plan penetration is extremely important. And this is a sweet spot for us, with the expansion of our network, and the value proposition that we're giving. We will continue to promote family plans. And you saw our latest Un-carrier Amped move with the 10 GB for All. But I think it's a great move, and we still expect stabilization to increase in ARPU.
John J. Legere - President, Chief Executive Officer & Director: Okay, operator, hold to the next one on the phone, because just so we can get used to using the way they're all coming in. I'm going to do a real quick one that came in on – actually, Howard, @4GHoward is being, multi-tasking – it's come on in TMUSearnings and @TMobileIR. I'm going to take that, and then I'm going to do a text question. Then we'll come back to the calls. And I'm going to be really quick on Howard's first question, which is he wants to know will T-Mobile offer a plan like @Sprint's #AllIn for $80, and then he goes on to describe what it is. I'm going to simply say to you, that the Sprint $80 all-in plan is the return of contracts. So that, from a standpoint of, is – when will be offer something like that? I thought I'd been very clear, never. So the contracts will not return, Sprint's all-in is a contract two-year oriented plan, and we will not be moving in that direction. Now on text, something came in, and I could read the phone number, but then I'd be like President Trump's giving (17:13) out the numbers. How many LTE POPs, how much band 12 has been deployed, and lastly has the band 12 deployment in L.A. been completed? I'm going to turn this to Neville. And while I turn it to Neville Ray, I'm going to acknowledge on this call the organization that Neville runs, that I said in my opening comments has been accomplishing things on the deployment of our network, that have never been seen before in the wireless industry. So on behalf of that, really, a proud hard-working team, let Neville brag and give you an update on these.
Neville R. Ray - Chief Technology Officer & Executive VP: Thanks, John. So, tremendous progress on the LTE footprint. I think the great news is we are right on the heels of AT&T and Verizon. They can see us right in their rearview mirror right now. The number is 290 million – it's actually slightly north of 290 million covered people in the U.S. today. Our midyear target was 280 million, so we're well ahead of that plan. The goal for the end of the year is 300 million. We've talked about that many times. I'm very confident we will deliver that early, and we're pushing very, very hard to drive that number north of 300 million by the end of 2015. So great progress there. The text question outlined, what's happening with band 12. So just to decode that for some of you, that's the low-band spectrum that we secured from one of our competitors some time back. We're making tremendous progress with that spectrum. The rollout is well ahead of our expectations. There were some interference issues that we had to deal with, with adjacent broadcasters, and we've actually crushed those issues over the last six months. The team has executed way beyond our plans. That's allowed us to really accelerate and amp up our rollout on low band. Our customers are now starting to really experience the benefit of low-band coverage, great in-building, really expanded suburban and rural coverage. So great, great story coming through there. And there was a specific on the end of the question about what's happening about L.A. specifically. I'll say that key markets such as L.A. and New York, which were really in our plans for 2016 for low-band coverage, are now pulled into 2015. And deployment has already started, it's well under way in L.A. We're not yet done, but we will be done at least six to nine months ahead of our original plan, and that market will be up and running with significant low-band coverage inside this year. And I'm hopeful we can actually reach the majority of that goal inside this quarter. So tremendous progress on band 12, tremendous progress on LTE overall. And kudos to the team. It's tremendous execution right now.
John J. Legere - President, Chief Executive Officer & Director: Okay, operator, we'll take the next question on the phone.
Operator: And from UBS, we have John Hodulik. Please go ahead.
John C. Hodulik - UBS Securities LLC: Okay. Great. Thanks, guys. Couple questions, maybe a follow-up on the A-Block for Neville. Can you give us a sense for how many POPs you'll have covered with A-Block by year-end, especially pulling in New York and L.A.? And then, you may not want to answer this, but do you expect sort of support for band 12 in the next iPhone release, and is that why you pulled those networks forward? And if so, what kind of a boost do you think, or does it help as you look out to 2016 in terms of network performance and subscriber growth? So that's it on that topic. Then real quick on the margins, you've reached a new level here on margins. If we look out to the second half, is that 30% level sustainable? Thanks.
Neville R. Ray - Chief Technology Officer & Executive VP: Let me take the first piece, then John. So the licensed area we have with our band 12 A-Block licenses is just shy of 190 million POPs, covered people. We won't get all of that done this year, but I tell you, we will get damn close. We're well over 100 million right now. The number is kind of around 130 million. You add L.A., New York, Atlanta, markets like Seattle, Sacramento, these are all big markets coming on between now and the end of the year, and we will get very close that number. So we're accelerating our plan inside 2015. You're totally right, the benefits in terms of customer performance, what this means in terms of speed, this is capacity, too, it really sets us up for a great customer experience in 2015. But probably more importantly in 2016. And we're driving very, very hard on the handset front. My goal is to have at least 50% of our customer base with a band 12 handset by the end of this year. Now, is there an inherent assumption in iPhone in there? Can't say. We can never disclose what Apple's plans are or are not; we don't know. But I'm very hopeful that there will be band 12 capability in the next set of iPhones.
John J. Legere - President, Chief Executive Officer & Director: Yeah, I think, John, I think let's break Neville's sentence apart. His sentence was that we can't disclose because we don't know. I mean, Apple's very secretive. We don't even know if and when they're coming out with a new device, although we already created a plan to help you get it when it does come out. And the question of do we expect band 12 support? The answer is yes. I mean, we certainly would expect that, and we'll look forward to hearing that in the near future.
J. Braxton Carter - Chief Financial Officer & Executive VP: And, John, on your last question, on the 30% EBITDA margin, is that sustainable for the balance of the year? If you look at the guidance which we just reiterated with a much higher growth outlook, yes, it certainly implies that this level of margin is sustainable for the balance of the year.
John C. Hodulik - UBS Securities LLC: Okay. Thanks, guys.
John J. Legere - President, Chief Executive Officer & Director: Okay. Great. Let's stay on the phone for one more. Operator?
Operator: And the next is Ric Prentiss with Raymond James.
Ric H. Prentiss - Raymond James & Associates, Inc.: Thanks. Morning, guys.
J. Braxton Carter - Chief Financial Officer & Executive VP: Morning, Ric.
Ric H. Prentiss - Raymond James & Associates, Inc.: Hey, obviously, very nice growth, and I'll echo the comment about really appreciate you're going to provide the JUMP! On Demand benefit in the future. That's really important for us. You guys have a history of obviously taking care of the customer, listening to what they want. We're one month in, but what do you (23:41) take rate will be, and where will that head?
John J. Legere - President, Chief Executive Officer & Director: Are you asking about JUMP! On Demand specifically, Ric?
Ric H. Prentiss - Raymond James & Associates, Inc.: Yes, specifically JUMP! On Demand leasing.
John J. Legere - President, Chief Executive Officer & Director: Well, we expect it to be the most popular option on the eligible devices. We've launched JUMP! On Demand on all of our superphones, the iPhones, the Galaxies, the flagship LG phone. It's the most flexible way to get a new smartphone from T-Mobile, and really it's pretty obvious. I mean, you've got absolutely no payment due upfront, not even sales tax. It's a simple by-the-month payment, and there's no way to ever pay more than the sales price on the phone. So you get all of the benefits of ownership as well, and a lot more flexibility along the way, because we're the only ones in the industry offering upgrade rights throughout your journey with that phone, anytime you want to move to the next one, with zero cost or penalty or fee associated with the upgrade. So we don't see why it shouldn't be the default choice among the vast majority of people on those eligible devices. Now, we're continuing to offer EIP in JUMP! and that's important because some people have established themselves on that path. They've earned a right to an upgrade with JUMP!, they might want another one with JUMP! They've got established on a family, they're familiar with it. So we'll continue to offer it, but you can expect our emphasis on the high velocity superphones to be on JUMP! On Demand, because it's just a better offer for our consumers. And I think Ric, one of the things – the picture I'd' like to paint is, certainly there was a lot of logic to our non-stop deployment of the Un-carrier Amped summer. And in effect, what's about to happen now is back-to-school season. So, when it's time for people to go into stores as we know they do in heavy numbers going back to school, the combination of new things that are going to be discussed with them, including JUMP! On Demand and Mobile without Borders, and 10 GB for All, and locking in your next iPhone, it's a plethora of really amazing new tools. And as Mike said, in that basket of things, we expect a pretty high take rate on this as well. So, we're pretty excited about the coming back-to-school ramp up, with all of what we've announced. And I'm sure there will be more.
Ric H. Prentiss - Raymond James & Associates, Inc.: Great. And one other question, kind of a strategic question. With AT&T closing the DirecTV deal and Verizon pending offer, how do you think about, how important is video to wireless customers, content to wireless customers? And how do you compete in that type of marketplace then?
John J. Legere - President, Chief Executive Officer & Director: Yeah. And I again, I appreciate that question as well. First of all, it remains to be seen, outside of an announcement, what's going to happen on both of those. I'm not sure if you interviewed 10 young millennials in Times Square as to how panting they are for Go90, or whatever that item is, that's coming from Verizon in the future. I am not sure. Let's wait and see. Now on the broader question, as I think Mike was the one who coined this term, and we use it in here to think about this. As we all know, the world is moving to a point where content is going to the Internet, and Internet is going mobile. And yet thinking about that in this context, in which they are thinking about moving video content to mobile devices. So everybody is moving in that direction. One of the things that I think about, is in that continuum, we do one of those things extremely well right now. We do pieces of the others, but right now we are a very successful, fastest growing, fastest network in the deployment of things to mobile devices. Now what I think is happening, and I'll use the example of Mobile without Borders, when dumber decided to spend $4 billion, as the way they would think about offering cross-border services to Mexico. And before they even got a chance to do it, the significant players on the other sides of the border and we got together, and created a superior way to do this, because that was the competitive environment and they believed in the same offer. I think what's happening now is, everybody else who is looking to be successful in getting the content to the Internet, to the mobile devices, is a potential opportunity for T-Mobile to partner, ally, merge with, going forward in the future. And one of the things I would say is, getting the video and content to the mobile subscriber is as hard as a things that for those players to do, without someone like us, as it is for us to go there. So we are moving in that direction. And that opens up obviously, a huge amount of inorganic options and partnership options for the company. And when you combine those with what I think we've demonstrated, our standalone business model is scalable, and has legs, and been successful over the period of time into the future. Those two together I think, bode extremely well for T-Mobile.
Ric H. Prentiss - Raymond James & Associates, Inc.: Great. And obviously, Neville's team put that in place as well with the network.
John J. Legere - President, Chief Executive Officer & Director: Okay. Operator, next question.
Operator: From Goldman Sachs, we have Brett Feldman.
Brett Joseph Feldman - Goldman Sachs & Co.: Operationally, over the last few quarters, the reduction in churn has been a big success. It's been a big part of the growth of subs, and a big part of what's happening with EBITDA. And so, that inevitably becomes the number one concern for a lot of people, which is, are we going to see that metric go up? Will people who are coming off all the EIP commitments and jump back out into the market? Or have you already taken measures to essentially mitigate the risk that, the success you were having two years ago, getting people to sign up to commitments, leads to risk over the next few quarters that they might leave?
J. Braxton Carter - Chief Financial Officer & Executive VP: Yeah, Brett. Great question. Let me put a couple facts out there, and then we can also look at some of the things that we've recently done with Un-carrier Amped. First and foremost, we've been doing EIP for over four years now, and looking at cohorts during this entire period, the bear thesis that there is a significant uptick in churn after the 24 month period is absolutely false. And something that we have not seen in any of the cohort analysis that we've done. And I think it is pretty simple to understand why. That's kind of a thought that comes out of the old contract paradigm. But with devices, very few people actually wait two years now to upgrade their phones, especially with the industry innovation that we introduced with JUMP!, and now the JUMP! On Demand. So that's factor number one. Secondly, absolutely the reductions in churn, which I think is a hallmark of this quarter and what you've seen develop over the last two years, it's based upon a very high-quality super-fast network and super innovative and creative marketing, and an absolute focus on the customer in customer service. And you saw the number one J.D. Power's award today, and that's what's really happening there. So, there's obviously seasonality with churn. Everybody can go back and look at all the quarter-to-quarter on stats, so certainly, you have some variability. But the important thing is looking at the continued trend of year-over-year, and we're very confident and comfortable with what we're seeing with customer retention. And we are actually focused on improving it.
John J. Legere - President, Chief Executive Officer & Director: Brett, I would say that, the start of your question, hopefully it's not part of the input to it. But the next time you find yourself picking up a Dave Barden report, drop it, put it down, and step away from that report. It can only cause harm to your otherwise, brilliant thinking about the industry. And I guess, the important part for me is, that when we started this Un-carrier revolution, the churn was 2.55%. And this is not a one-time blip in churn, this has been a consistent increasing churn picture. And churn is different for us, because churn previously was a measurement, I believe in this industry, of what happened in that moment of truth, at the end of 24 months of being ignored, as people needed to make another decision. And that's not really what's happening with our customers. And what we do, and we've demonstrated the last three or four weeks again, we constantly are finding ways to give things to our customers and solve pain points, and we've created a belief and understanding as part of this revolution that that will continue. And if you look at what Neville is doing with the network, and you look at the report that came out today, with JDP ranking our customer service as number one, these are also big variables that we think bode extremely well for the future. But from a standpoint of the doom and gloom scenarios of what's going to happen, step away from that report. It's harmful for your health.
Brett Joseph Feldman - Goldman Sachs & Co.: Okay. Thanks for taking the question.
J. Braxton Carter - Chief Financial Officer & Executive VP: Okay.
John J. Legere - President, Chief Executive Officer & Director: Okay, let's try to grab one here. Okay, a very detailed question from Walt Piecyk, and Walt, we'll take one from the others. But is a very good question, which is, why is Neville Ray, not wearing a T-Mobile shirt? I don't want to say anything, Walt, but I'm confident that Neville's undergarments are T-Mobile at this time.
Neville R. Ray - Chief Technology Officer & Executive VP: They've read the webcast lately.
John J. Legere - President, Chief Executive Officer & Director: Walt don't roll down any further. Walt, I did want to take this. There is a question here, Neville, maybe we could talk about. Does the completion of 300 million LTE POPs this year mean anything for capital investment next year? Do you guys want to...
Neville R. Ray - Chief Technology Officer & Executive VP: Well, I'll start now – I'll pass it to Braxton, I mean obviously, we're going to continue to invest. We want the tremendous growth platform and growth story for our business today. We still have more work to do. In 2016 for sure, we want to continue to expand and improve the reach and quality of the network. And then we plan to advance our coverage as well as the density and capability and capacity of our network. This is absolutely the right thing to do at this point in time and as we move into the future.
John J. Legere - President, Chief Executive Officer & Director: Yeah. We'll get Walt on his – he's in the queue over here, but let's go back to the operator. I think the next questioner might be Roger.
Operator: Roger Cheng from CNET. Please go ahead, sir.
Roger Cheng - CNET: Hey guys, how are you doing?
J. Braxton Carter - Chief Financial Officer & Executive VP: Hey, Roger.
John J. Legere - President, Chief Executive Officer & Director: I like that Macklemore (35:07)
Roger Cheng - CNET: You're not getting tired of it? All right, well. Let me ask about the customer growth. Obviously, I'm obsessed about customer growth. What is the mix going to be down the line? Obviously, you're seeing with AT&T and Verizon the mix is more tablets, more connected devices. Do you see phone customers still being the majority of your mix of customer growth for the next couple quarters out? And just a follow-up, in terms of that other segment, do you see any other opportunities in M2M other connected devices as well?
John J. Legere - President, Chief Executive Officer & Director: Very good. And as I hand that to Mike, I'll just add the snarky introduction that just to remind people that are dialing into the call, that aren't as steeped into looking at these numbers as others, is when you move from right now in the industry from postpaid and prepaid subscribers, to tablets and connected devices, right now in the AT&T and Verizon world, let's be clear, those are no ARPU or minimal ARPU free tablets and $1 ARPU connected cars. So, that's the main reason that they are kind of looked at that way. The evolution of which, we have shown our ability to target tablets when we choose to and we're very confident that we can use that going forward. But Mike, if you want to go through the mix there in some of Roger's question.
G. Michael Sievert - Chief Operating Officer: Yeah, Roger. It's a great question. I just don't think, it's a matter of mix at our competitors. It's a matter of what they can do. And so, in an environment, where they simply can't get positive phone net adds anymore. And haven't been able to find success in that for many quarters. They've turned their intention to lower value types of products that they can acquire. And I'll be doing the same thing if I was there. So, it's really a matter of what they can do. They hit this kind of terminal size where their phone churn, although the churn rates are fairly good, some of the best in the industry, their size is churning out so many customers that we are feeding on, others are feeding on. That they just can't out run that with their gross adds. They don't brand value propositions that are attracting enough people on the front end to refill the churn on the back end. And that has to do with their size and it has to do with the fact that what they have to offer isn't resonating with the public as well as it needs to. And so they've turned to these lower value things as John said. Our strategy is really different. Ours is simply to focus on the highest value customer segments that's big families, it's postpaid, it's monthly recurring prepaid customers and go win in those segments, because our brand's resonating with the customers who use wireless the most to our most engaged in the industry. And that's why you see, not only our customer numbers at the best in the industry, but you see the underlying help of the business. Our churns hitting record low, our average billings per user at a record high, our customers are more engaged with our products and are actually buying more from us, and therefore paying us more than at any time in the history of our company. So, really shows you that, we just have a very different strategy and ours is really working when it comes to attracting high quality, high value customers.
Roger Cheng - CNET: All right. Thanks.
John J. Legere - President, Chief Executive Officer & Director: Okay. I think Michael Rollins is next.
Operator: Michael Rollins from Citi Bank. Please go ahead, sir.
Michael I. Rollins - Citigroup Global Markets, Inc. (Broker): Yeah, hi. Thanks for taking the question. First, I was wondering if you could size the amount of cost of service that's left from the MetroPCS network in the Q2 results, so we could think about what's going to come out, as you finish shutting down that network? And then the second question I had was, can you talk about how successful the sales team is at attaching additional features and options to your base rate plan? As we look at our current rate of promotions, and try to think about the ARPU translation for that, could you maybe give us a little bit of a bridge of how you start with these great plan offers, but what customer spending may ultimately look like, on average of course? Thanks.
J. Braxton Carter - Chief Financial Officer & Executive VP: Yeah, Mike. So, on the MetroPCS synergies starting to flow through the results. They are certainly starting to flow through the results. And you're seeing a reduction in cost of service. And remember, the real reduction is actually larger than the decrease that you're seeing in cost of service, because we are continuing to expand the geographical breadth of our network. But needless to say, we will not be at run rate until the very end or early next year on the plus $1.5 billion of cash synergy, which is about a $1 billion worth of OpEx until 2016?
John J. Legere - President, Chief Executive Officer & Director: Yeah. On the attach question, it's really pretty straightforward, Mike, and it's one of the things that really makes our model work. And think about it, us being in excess of 80%. And we talked about average billings per user and average billings per account being at all-time high, ARPU being a surprise on the high side. And so, people can make a mistake of looking at our promotions like our current 10 GB for All offer, or last year's 4 for 100. And conclude that customer quality would atrophy because of those things. But in fact, our team's highly successful at getting attach on things like JUMP! and insurance and data plans. That 10 GB for All offer that we have out there right now is very attractive as it stands, but also for just $10 more, customers can double their data on any of their lines or all of their lines. And our team is very successful at helping customers right size their usage and get the attachment. So, that's shining through very strongly in the result that we've reported this morning. Okay. Let's do Kevin Smithen [Macquarie Capital] and then I'm going to go to text question.
Kevin Smithen - Macquarie Capital (USA), Inc.: All right. One quick question, one of your competitors talks about their new mobile streaming platform that's going to – they think significantly lower report outs to you and others. How is mobile video thought of in your company, and do you have a plan to try to attack this new mobile streaming platform at your largest competitor?
Neville R. Ray - Chief Technology Officer & Executive VP: Yeah. We've talked about this Kevin a few minutes ago, a little bit which is – there is no doubt, by the way that video is extremely important to all of our users. T-Mobile users have the highest consumption rates of anybody that the most engaged in the category. Video is the number one application consuming resources on our network the most – one of the most widely used applications by our customers. The question is this, do people want their wireless carrier to curate their video options? Do they want us to do the picking for them? And if they do, we'll be there as John said, our approach to it will be different than how our competitors are doing it, which is gobbling up companies and creating walled gardens and so on. But we are listening, what we do at the Un-carrier is really simple. We go to customers, we find out what they want and then we go do that. And if our customers want us to be in the video business curating and picking video, and if we can add value to that by being both in the content and into network, with synergies between the two for efficiency sake or value sake, then we'll do it. But the question really is what do customers really want? And do they want us in that business.
Kevin Smithen - Macquarie Capital (USA), Inc.: Got it. And question for Braxton on free cash flow, if I can. We've seen in the first half a big working capital hit, when should we start to see the sequential EBITDA growth translate into big free cash flow ramp?
J. Braxton Carter - Chief Financial Officer & Executive VP: Well, if you look at the free cash flow disclosures that we have on, in the Factbook. You saw a very substantial improvement in the operating working – in the operating cash flow including all changes in working capital. The primary burn on working capital is the continued investment in EIP, which has been significantly moderating. We also paid down, and when you do a detail analysis on the Q, a fairly substantial reduction in accounts payable in the second quarter. But, I think the important thing here is that the EIP is a function of growth. So, to the extent that we continue to have the momentum in the growth here there will be some incremental burn. But certainly, and as we said on the year end call, our growth aspirations were fully embedded in our EBITDA guidance, in our cash flow guidance. And we're much higher than we had originally positioned in the marketplace. And you know that we are conservative in the way that we position growth, which I think is wise given the overall environment.
John J. Legere - President, Chief Executive Officer & Director: Okay, I'm going to go to a question, that's coming on Twitter. It's Arthur (44:47) I don't know if I am abbreviating your name, Arthur Pielack (44:51) and it's – came in and said on postpaid ads, what was the breakdown on porting from other carriers? Let me say a few things on that, because as I outlined up front, this story is one that I want to put in a context. And I'll give credit where it's due during this analysis. But it's been nine quarters that we are positively ported with the industry. Let's just say, the entire time of the T-Mobile Un-carrier revolution. And in six quarters or actually 19 months now, the porting has been positive against every single carrier. So, that's the backdrop. You also know that we just raised our guidance for postpaid ads for the year. So in that context, I would just say in Q2, based on the results we're talking about, the porting was 1.5 with Verizon or as you know, for those you are experts in this – it's 1.5 to us for every 1 to them, which is very, very positive. It was 1.9 with AT&T, and it was 2.5 with Sprint – to be fair, 2.45. Now, we're pretty much into July. So the comments I can make on July are that we remain positive with all the carriers. We remained at least 2 – around 2 with Sprint, which is a – it's a wonderful trend. We remain in the area of – exactly where we were with AT&T. We're about 1.83, so relatively flat. Now, we are trending about 1.2 or so, up a little of 1.2 with Verizon. So Verizon has made some progress in the short term in the month due to the very heavy porting pay that they're doing, but if you think about where they are now – so I give credit where it's due – a tiny adjustment, but overall the porting for T-Mobile on the postpaid side very, very strong, continuing with all carriers, and in July some progress with one of the largest players in the world handing out cash to attempt to still not get to the point where they can add customers from T-Mobile. But making a little progress probably with their geese phone ad, which I thought was kind of cute. Okay, let's go back to the phone.
Operator: We have Simon Flannery with Morgan Stanley.
Simon Flannery - Morgan Stanley & Co. LLC: Great. Thank you. Just carrying on from that theme of the porting ratios. You've had the iPhone for a couple of years now. You've got some attractive new offers for the iPhone related to the ability to upgrade to the new device. Can you just give us some color on where the iPhone is in terms of your mix of your subscriber base, and what you see as the opportunity? There must be a lot of 5s coming off to your contracts over the next few months, and your ability to sort of disproportionately benefit from that with some of your new offers? Thanks.
G. Michael Sievert - Chief Operating Officer: Hey Simon. It's Mike. Yeah, I can only be somewhat helpful there. We don't break down our base by device. But let me give you a little bit of color. Overall, we believe that our penetration of iPhones is the lowest, and that means our opportunity is the highest. And we really see that as a source of strength for us going forward. Overall in our flow rate, you see iPhones and the main competitive device, Samsung Galaxy devices, being roughly speaking equivalent in their flow rates right now, in our business. And so, it really is more an issue of the base than it is an issue of the flow. And with a smaller iPhone base it means we're less vulnerable to switching at the time of big iPhone launches, and it means we have a bigger opportunity to gain switchers at the time of iPhone launches. And as John said, we can't say whether or not there's a big iPhone launch coming, but if there is one, we would see it as a real opportunity for us. And particularly, with the great work that Neville's doing to get 700 megahertz rolled out in low-band spectrum, if we can get to a point this year, where all of our devices have our complete network, that's a real opportunity for us to continue to build network perception, take share and continue to improve in our churn trajectory.
Simon Flannery - Morgan Stanley & Co. LLC: And related to that, how are you addressing retail expansion? You can presumably hit a lot more communities now, with a full marketing effort than – given the 700 and the full LTE coverage?
John J. Legere - President, Chief Executive Officer & Director: One thing that we're avoiding is waiting to see if any other really crappy retail stores go bankrupt and are offering us relabeling their store. We don't think that that's a highly effective strategy. But in general, Mike do you want to -
G. Michael Sievert - Chief Operating Officer: Yeah, we are doing two kinds of expansion – three kinds of expansion here. Number one is we are continuing to roll out our MetroPCS format nationwide. And we've seen amazing success adding MetroPCS dealers in cities across the country, and that's really helping our prepaid performance. Secondly, in our T-Mobile flagship store format, we have two approaches. We have a company store approach, and we have an exclusive dealer approach that's almost like a franchise model, because we make no distinction. We take direct control of the training, of the people, et cetera. And we see an opportunity to continue to roll out additional T-Mobile doors into that new footprint. I mean, think of it, a million extra square miles of LTE coverage this year, thanks to low band and other initiatives that we have under way. That really does open up new areas, where there's marketable territory for us to go and plant a stake in the ground. And finally, it's about online. Let's not lose side of the fact that it's 2015, purchasing in wireless is getting simpler as there's less overall fragmentation of volume of smartphones. People have a good idea what they're looking for. So we have a great opportunity to continue to expand our distribution online and welcome more and more people to our family digitally as well.
John J. Legere - President, Chief Executive Officer & Director: Yeah. And, Simon, I'd just to wrap up your questions, because as you asked your first question about the iPhone I was actually just came back from vacation and I was sitting there, because three years ago right now is when I was contemplating, coming in in a month or two as the CEO of T-Mobile. And I sit back and I think that it was even then and after, we had no iPhone in our stores, and I've been thinking about what's happened since then and the impact on our business, where we are of the deployment of a full set of devices. And then as Mike said with the success we've had, it's hard to believe that we have such a significant upside in our base as each new product comes out. And what we announced last week was an attempt to remove that back-to-school fear that generally happens, which is, oh, I don't want to do something now, because I'm afraid something's going to come out right after it. And in effect, what we've done is created a way – if there was such a thing, you can technically buy it now. And I think that's part of this plan. Now on the retail presence, we've got a great footprint, and I think when you go across our channels, remember that we've got about 11,000 MetroPCS doors of some fashion. A very, very large presence, much bigger than our competitors, and a very good footprint of T-Mobile branded locations, where we have our deepest coverage now. And part of the opportunity for us, as we deploy our spectrum nationwide, there becomes more communities that are an opportunity for us. So there will be some expansion, especially in suburban areas as the coverage goes up. But I would also add over the next year or two years, we see the online and direct-to-consumer piece of our business as possibly one of the biggest upside opportunities of our business. And how to add very innovative Un-carrier ways with self-care and utilization of online tools for the next generation of customers that may or may not feel the need to go to stores. So all those together, I think we see a tremendous upside.
Simon Flannery - Morgan Stanley & Co. LLC: Great. Thank you.
John J. Legere - President, Chief Executive Officer & Director: Okay. Next question on the phone, operator?
Operator: We have Jonathan Chaplin with New Street Research. Please go ahead.
Jonathan Chaplin - New Street Research LLP (US): Thanks very much. Just a quick question on the platform that Google has rolled out with you guys and Sprint. Two quick questions around that. First of all, I think the product has launched very recently. I'm wondering if you've seen any early trends that are worth commenting on? I'm wondering how you think about the risk of this sort of a project with Google? And then I'm wondering if you'd offer the same kind of platform, or offer Comcast the same opportunity to use a platform like that?
John J. Legere - President, Chief Executive Officer & Director: Yeah, I mean, a few things. First of all, it's too – it's early. I mean it's a very early – the process is moving deliberately but slowly, the application time is slow, but it's moving out. And I would say the anecdotal feedback I've gotten from customers that are using it is, I thought this was something they're doing with both you and Sprint, because my phone never moved to the Sprint part, which is sort of what we expected, and you laugh, but I think that is happening. So a significant portion of the roaming is going to the best network capability, which is ours. Second is, this is very profitable for us. So this isn't a gift game. It's a profitable business we're excited about it. And third, in the combination of all of what you are talking about, I have been clear that the difference between us and dumb and dumber and the other carriers is, we don't see any of these industry evolutions, as a threat. We see them as a logical progression of that industry structure continuum that we outlined in a way they use our reach on the mobile side to other players that want to enter the space. And I think I have always thought and said that in several years, we will think back and think it was completely humorous that we believed that the "wireless industry was four-carriers, and a structure that needs to be protected", because ultimately both Google, Comcast other players are going to migrate into the space. My thought is, that if Google is moving into the space with the capability that they have, I want to partner with them and I want to do that similar to how we were the original Android partner with them and we're very pleased with what it does so far. And we're looking forward to seeing what they choose to do in the future and hope that they do it with us. Second, when you move over to Comcast, I've said all along, as the cable players try to create and use Wi-Fi as a capability to serve their subscribers, you know that a partnership of sorts between a cable player with Wi-Fi and broadband in the home and a player like T-Mobile is better, you just know that. So, you know who knows that the industry structure will migrate such that those come together. But it's just logical; if you step back and start from a consumer and then the consumer says hey, wait a minute. I have Comcast and I had T-Mobile why don't these guys do something together to provide a seamless set of capabilities to us and then certainly some of the evolution of what's happening in unlicensed and et cetera is going to provide something. So that's the way I think about it. And I think that will be in several years a big question of not if, but when, and I look forward to that as well, I think it provides great options for our customers.
Jonathan Chaplin - New Street Research LLP (US): To my understanding is that there is some limit on how much Google can sell on that platform. Did you guys put that in place, just because you wanted to see how the product would evolve? Or are there risks that you want to protect against as well?
John J. Legere - President, Chief Executive Officer & Director: Peter is turning his microphone on.
Peter A. Ewens - Executive Vice President-Corporate Strategy: Hey, it's Peter there, we don't have any limits what Google can sell on their platform.
Jonathan Chaplin - New Street Research LLP (US): Got it. Thank you.
John J. Legere - President, Chief Executive Officer & Director: That was an emphatic screen from Peter Ewens, by the way. Just so you know. That was arms waving – that was after we woke him up. Thanks for your question. And I fear, operator that we need to go the next question and I think it's Walt Piecyk [BTIG LLC].
Walter Piecyk - BTIG LLC: Can you hear me now?
John J. Legere - President, Chief Executive Officer & Director: Yes.
Walter Piecyk - BTIG LLC: Are you guys there?
John J. Legere - President, Chief Executive Officer & Director: Yeah, Walt. We're here. We've been waiting for this, Walt.
Walter Piecyk - BTIG LLC: Do not fear anything. Your ad budget, I mean obviously you guys doing good job on social media which is largely free. But the ad budget looks like it was up year-on-year. Can you give us a sense of kind of what's behind that in the quarter and how you think about it in the second half of the year as you're launching some of these 700 megahertz parts? And then also as you came, when you look at 2016, as you launch 700 megahertz in some of these additional markets, it kind of changes the types of customers that you can go after, as you're lighting up different types of neighborhoods. Does the ad strategy change at all in that regard?
John J. Legere - President, Chief Executive Officer & Director: Yeah. As I toss the ball to Mike to talk about the ads rate, I want to tell you about it, in your lead-in question, you talked about how successful we are in social media, and I want you let you know that in order for the company to do that, I personally have to spend huge amounts of time experimenting with the new vehicles. And I will tell you that that includes hours of my life that I had to spend on Periscope, watching you and your children play Trivial Pursuit, or drive down the seat and have your children ask you, Dad, are we almost there. And I want to let you know that with those things that I do, it's very clear that the board and the compensation committee need to step up, and save me better, because it's taking years of my life, but – Mike do you want to talk about the ads?
G. Michael Sievert - Chief Operating Officer: Well, yeah, I mean, every quarter is a little different. I can't give too much of the secret sauce here, but I will say that this is one area where we're proud and most quarters to be a solid number four. We are very efficient in how we go about acquiring customers, especially when you put the lens on it, that shows how our share of overall growth ads in the marketplace compares to our competitors. And how we're rolling up all of the net adds in the industry and yet, we're in most quarters of solid number four, when it comes to investing in marketing. Just so to the strength of our brand and to the premise of your question, the fact that we're using our community and the fact that we've created a consumer revolution and put our brand on the side of the customer, we're getting an amplification out of our dollars that are competitors, just simply can match. Now that being said, this is seasonal business. Every quarter is a little bit different. We do tend to take a few moments through the year and really investing get behind this business. And although, if you've noticed, but we tend to do that a little bit counter cyclically to our competitors. We don't necessarily invest in the times when it looks the most expensive to us, because we can fish during other times of the year. That's been the pattern the last year or two. I try not to be predictable. The last thing you asked about was about regional plays. And yeah, absolutely, we see real opportunity in certain markets where the network conditions show that we can beat anybody, and those are places where we're investing disproportionately, because we know that the network is really surpassing what our competitors can offer and we want to shine a light on that through advertising. So, there is certainly a regional overlay to this. That's greater now than it was a couple of years ago when we were more one-size-fits-all nationally.
Walter Piecyk - BTIG LLC: And Mike, do you respond to the porting ratio. I mean, can you give a little bit more kind of color on the ebb and flow of porting ratios and maybe what percentage of growth ads they actually are representing these days?
G. Michael Sievert - Chief Operating Officer: Yeah, absolutely. The only color I'll give you is that the movements that we've been seeing, our best evidence as we look at switcher data and we have lots of ways of getting out real switching versus porting, which is just a subset. And what it looks like to us is that there hasn't been any real shift in switching. John, threw Verizon a little bone there and said, it looks like they've made a little bit of progress in porting in July. There is no evidence that they've actually made progress on us in switching overall. And what's happening is more of the switchers are port, and because they're bribing customers to port. But it's not actually to us looking like it's resulting in a significantly higher number of switchers. So that's really important. Again, several quarters in a row now, we've rolled up all of the net adds on postpaid phones and more than the other three combined. And we're confident that the strategy is working.
John J. Legere - President, Chief Executive Officer & Director: Okay.
Walter Piecyk - BTIG LLC: All right. Great. Thanks.
G. Michael Sievert - Chief Operating Officer: You bet.
John J. Legere - President, Chief Executive Officer & Director: Real, just quickly. Just – I am reading all the Twitter questions, including the ones that are annoyed saying that I'm not taking any Twitter questions. And some of that is just so – you'll know that the Twitter questions so far are overlapping quite well with what the call-in questions are taking. But @TechSpot is annoyed that I'm barely taking Twitter questions. So I apologize. Although, I do like annoying people, but not somebody whose name is "Tech." And @TechSpot, I would just say you had a couple of questions that I thought were covered and I'll just tick them for you right now, to prove that you are not being ignored. Neville did talk about how many bad 12 POPs will be covered, and we said, we will approach 190 million by the end of the year. I think we've – the update was that virtually everything we need to do that has been cleared or we have a pathway to do it. So, that's the deployment schedule. And there was a question that was harder to answer, because it's a long discussion about what are your plans for improving indoor signal in non 700 megahertz areas, including more 700 megahertz purchases in both thing. I mean, obviously, we've got a significant infill strategy and modernization strategy that's going on along with the deployment of 700 megahertz, which has a tremendous overlap with where our customers are so far. Obviously, more 700 megahertz purchases is something we've been very clear and deliberate about, which also leads into a longer discussion about the broadcast auctions, and the criticality for carriers like us and our commitment to be successful in purchasing the 600 in what would be the end of first quarter broadcast auction to take place. So are we cool now? I really do love you. Okay. Now that I've already proved I'm not ignoring you, I'm going to ignore you and go back to the next call in question which was – I think it's Phil Cusick [JPMorgan].
Operator: And your line is open.
Philip A. Cusick - JPMorgan Securities LLC: Thanks, John. So the typical pushback we get on T-Mobile aside from David Barden's tome is that you're going to run out of capacity. So Neville, can you help us think about not this year necessarily when you are deploying 700, but the next couple of years when there's not a lot of spectrum at least for sale from the government and useable. How do you think about capacity and should we be thinking about CapEx ramping up? And sort as part of that what does the secondary spectrum market look like? Are any of the 700 holders getting a little more reasonable on selling what they have? Thanks.
John J. Legere - President, Chief Executive Officer & Director: And Phil, as I hand it over to Neville, wouldn't you ask that exact same question to all of the other carriers. And...
Philip A. Cusick - JPMorgan Securities LLC: I would, but you don't hear about them.
John J. Legere - President, Chief Executive Officer & Director: Right, that's right, because I think the media has been dominated in the last week around speculation about running out of spectrum by Verizon. So I think this is just to put out there, when you get to the medium to long-term, absolutely everybody needs new sources of supply. Not just us, and we've been clear about it. We all have different paths and we feel very comfortable and we are still in a superior position as it relates to supply per customer as defined by megahertz POP. Neville, why don't you through that?
Neville R. Ray - Chief Technology Officer & Executive VP: Thanks, John. Hey, Phil I mean, we could talk on this for a while. But I'll be punchy and quick as I can on this. It's obviously an important topic and discussion for the industry, there is a lot of growth. But we are very well positioned for that growth. I'd tell you, we're in the midst of a great execution on a great plan for growth in this company. The isn't a surprise to us. But why are we different? Most spectrum per customers than Verizon and AT&T, right out of the gate. We have less than half of our spectrum that we own committed to LTE today. That number is about 40% right now. So we have a lot of LTE growth ahead of us. The MetroPCS execution that's been referenced to couple of times on the call. Just simply outstanding, it's delivered two things, one the most dense network in the U.S., and two of the best mid-band contiguous spectrum position. The compounding nature of those two things is the envy of all of our competitors. They're throwing small cells, host of different ideas and plans to try and come close to matching that Macro network density with a great macro mid-band spectrum position. Low band grids don't get there, poor mid-band grids don't get there. I'm throwing tens of thousands of small cells, the problem doesn't get you there either. So those things are very important and very meaningful. With the fastest LTE network, we have been for 18 months, so it's a great proxy for capacity that's available for customers in the U.S. We are neck deep in the rollout of the LTE features and especially LTE Advanced features and a bunch of Twitter questions on carrier aggregation. It is out there already between low and high bands. We've already advanced with 2X4 MIMO, we have that across many major cities in the U.S. and we will be completing that footprint as we move through 2015. So a 20% to 30% uplift in capacity in its own right. Whole host of new capabilities and features coming down the road for us. And we are already way out in front on leveraging un-licensed spectrum. So you've heard the story of using LTE in our licensed, License-Assisted Access and we're working furiously to bring products to the market in 2016 to leverage underused and unutilized spectrum out there today. So there's a whole host of things we're working on, we are in the midst of strong execution here. The growth in the industry is an industry challenge, but I think, we're executing very well. We have a very, very strong foundational position to start from following the execution on Metro. You mentioned 700, it's coming in as an additional layer of capacity. Yes, we want to add more low band. We have 119 million covered people with the licenses we have. I think what's important for us at this point in time is to complete that low band footprint across the U.S. The big auction as John reference coming in the New Year, which will be a great opportunity. And we need to ensure that the big duopolists out there don't sit and hog over the low band spectrum. They own almost 75% of it in the U.S. market to date. And we are hell bent on making sure that those ratios and numbers change as we move forward.
John J. Legere - President, Chief Executive Officer & Director: Listen, there's a couple of things coming in on Twitter before we go to next question which is going to be Craig Moffett which I want to prepare the team to speak to him. Interesting question, first a simple one, several people have asked – how is switching and porting different, and that's an interesting question because the porting is the same as switching except you are taking your number with you. See you're porting your number over and the reason this is an interesting question is because very clearly the switching dynamic in the industry consistently over the past two years has been people switching from AT&T and Verizon and Sprint to T-Mobile. And porting ratios are a leading indicator of what's happening in the broadening pool, unless you disproportionately do something to that indicator. So, for example, what's happening in the short-term where I noted a slight improvement in Verizon's postpaid porting, still negative. It's based upon a significant payment to their customers to port their number. So a porting amount of money that they are paying. It doesn't necessarily do anything to the underlying switching trend in and of itself. So that's a very good question. Second is there's been a number of questions about the broadcast options. Neville just commented on it, but let me – I'd just make a couple of statements, which is it's a long and winding road, there's tremendous amounts of things still to be done, but let's just give you a small update of the current events in that area. One is, it seems to be remaining on track that there will for the first time ever in an auction, be a reserve set aside for the smaller carriers that need the spectrum, which is a big success. There is a remaining question as to whether it's 30 megahertz or 40 megahertz. But I want to point out that those are both significant wins for T-Mobile, and I'm certainly pushing and hoping for the 40 megahertz, but the 30 megahertz it remains to be seen in the second part of this analysis which is all I know is in the past two weeks. Verizon continues to say, they're not sure they are going to play. They don't really need to play in the low-band space, which I'm really cool with. And then in the past week or so, I've seen analysis that suggests that potentially based upon rulings that could cost DISH some additional money on the AWS3, they might not be afford to play. So all I can say is at this point in time, the current events suggest that the spectrum auction is looking positive for T-Mobile. I want to reiterate our commitment that we are showing up, we are playing, and we will be successful, and we are counting on that. And so far things feel pretty good on that. Now, going to the next question, which I think is Craig Moffett. I don't want to sing the whole song, but I would ask my brethren here to yell the first few rounds of Happy Birthday because it is Craig's birthday. Okay, go ahead. Happy birthday to you. All right, that's enough, that's it, that's it right there. Go ahead, Craig.
Craig Eder Moffett - MoffettNathanson LLC: Thank you, gentlemen. I take that to be a sign of your highly developed targeted marketing capabilities. I'm going to see if I can slip in two questions as my birthday present. First, you've talked a lot about the 700 band, but not about other spectrum bands. There's been – obviously, there was a lot of talk during the quarter about DISH Network and their AWS4 band. I wonder if maybe Neville could comment on how you see the other spectrum band might be out there in the private market, relative to the 600 spectrum. And then, second, if you could just update us on your small medium business initiatives and what kind of traction you are seeing in the SMB segment?
John J. Legere - President, Chief Executive Officer & Director: Okay, I'll attempt to have Neville give a short answer on that first one, running the risk that we could be here till tomorrow, and then Mike can give you an update on the small business.
Neville R. Ray - Chief Technology Officer & Executive VP: No short answers from me, John, I can't help it. No, I'll keep this one brief. I mean, obviously there's a secondary market out there, and the DISH folks have a fair volume of spectrum that's yet to be brought to market. It has as to come to market at some point in time. And there's a good midband portfolio there. It faces obviously some risks and issues around standardization and timelines and equipment. And so when you look at how you're going handle and grow a very fast-paced business like ours today and in 2016 and 2017, those assets, they're further out for us. So hence my comments on all the things we're doing with the asset base that we have. And obviously, I think 700 is a perfect example of how T-Mobile, when it secures spectrum, it turns that spectrum into customer value, performance, and benefit very rapidly. I think Verizon sat on the A-Block for five years and never talked to a broadcaster, but we've cleared it and deployed it inside 12 months. So if the FCC wants to look at how to bring spectrum to market, you put more into T-Mobile's hands.
John J. Legere - President, Chief Executive Officer & Director: Hear, hear.
Neville R. Ray - Chief Technology Officer & Executive VP: Outside of that, I mean, I think I referenced on license, we're going to push very hard into that space. That's something that's very realizable compared to many of the secondary market opportunities in the near term. There are other pieces coming, 3.5, it's a bit messy. But we're looking at our spectrum position today and other opportunities that are right in front of us. And we're excited about what we can do in 2016 and 2017 with what we have and what's coming.
John J. Legere - President, Chief Executive Officer & Director: As we go to Mike, I'll just say, obviously not just Neville, but we are interested in all forms of spectrum to help our customers, and in effect it's hard to look at DISH as – in fact, I heard a rumor that they changed their company name to Spectrum Pile, which I'm not sure is true. But it is, it's the motherlode of spectrum, and what makes the topic interesting is it's spectrum that has to find a utilization. So we find it to be something interesting to look at, and certainly, we could put it to use, but it is one of a number of ideas we have and one of a number of spectrum opportunities that we have. Mike, do you want to talk about the -
G. Michael Sievert - Chief Operating Officer: Yeah, Craig, the story on small business is short and simple. It's going really well. As you know, we plunged ourselves into the space with Un-carrier 9 early this year. And I think we've said a couple of times we've seen our business at retail in particular, more than double in flow rate since then, and that's holding up. So we're really delighted with that. Overall, across all channels including sales channels, our flow rate's up about 50%. So the results are across the board. And financially, we're seeing good quality customers coming in. So while we made a big investment in pricing and in simplicity, in the value propositions that we rolled out with Simple Choice for Business, what we're seeing is that customers are coming in, they're attaching with high end phones, they are attaching data, our cost of sales is going down. And so we've really got a nice beginning to a long-term strategy here. The second thing I'll say is Un-carrier 9 was not the end of the strategy. It was a firing gun. It was a start. And each subsequent move now is designed to attract not just consumers, but small and medium businesses as well. And Mobile Without Borders is a great example of this. We've seen real business uptake from small and medium businesses, and in fact big enterprises that do businesses across the borders and want a different proposition for their employees. 10 gigs for All, our signature offer and promotion of the back-to-school season, amazingly appealing to small businesses who don't want to have to worry about whether or not they're parceling out the right amount of data to each employee, because the 10 gigs for each employee is so attractive. So a nice start, the team's done an amazing job, but a lot of late legs for this strategy over time.
John J. Legere - President, Chief Executive Officer & Director: Okay. Let's take the next – let's see. The messages coming in on text, the only other one that's come in is would you consider a partnership with various cable companies. And I think I've already covered that, which is obviously we look at everything from a customer standpoint, and if there's something that's beneficial to them, which I believe there ultimately is, we're interested on their behalf. So that kind of kills those questions, the Twitter messages I'm keeping an eye on, but let's go to another one on the phone.
Operator: We have Joseph Mastrogiovanni with Credit Suisse.
Joseph A. Mastrogiovanni - Credit Suisse Securities (USA) LLC (Broker): Hi guys, thanks for taking my question. Two if I could, maybe first a follow up to Mike's earlier question related to the PCS synergies. Just what's left to do to achieve the full run rate there? And then switching gears if I could, you've had nationwide VoLTE available for roughly year now. Can you just talk about the consumer response to the VoLTE and maybe the differences that you've seen compared to traditional voice as it relates to quality of service?
J. Braxton Carter - Chief Financial Officer & Executive VP: Sure, really quickly on the MetroPCS synergies, we have now as of July 1 shut down all the legacy CDMA networks. But the accounting rules tell you, you have to completely decommission those networks before you can start recognition of the synergy. And that's typically a four- to six-month time period. So it will take the balance of the year to get to full run rate. And, remember, some of our largest markets, Miami, New York, were shut down at the very tail end of June.
Neville R. Ray - Chief Technology Officer & Executive VP: So real quick on VoLTE, tremendous progress, first to launch nationwide. This is an interesting step. If you look at the VoLTE core volume on our network, it's 2x what we have on GSM. So it's a huge piece of growth on voice calling for us. Everything pretty much we now sell on LTE is VoLTE capable. It's a big part of our future. VoLTE is not just about the customer experience on voice and fast setup times. It's about how do you really move into a complete and holistic kind of IP ramp up around your services. We've just recently launched advanced messaging, which is the first piece of the gate on rich communication services, highly integrated in with VoLTE. Next to come will be video over LTE, ViLTE. And so you're going to see all of those firsts coming from T-Mobile. They all come off and stem off the back of moving voice onto the IP layer. And a bunch of question today, too, coming through about Wi-Fi and why don't we do more about other OEMs bringing their devices, BYOD coming to T-Mobile, getting Wi-Fi, the great Wi-Fi service we have from T-Mobile onto those devices. Well, we need all the other carriers to wake up, smell the coffee on the future. And the future's about VoLTE, it's about Wi-Fi integration across their IP plane seamlessly to give mobility. And none of the carriers are where we are on Wi-Fi. None of them are where we are on VoLTE, and the OEMs have to deeply integrate that new IMS stack to support VoLTE and VoLTE mobility into Wi-Fi. So our competitors kind of have to wake up and move this thing. And then all of those BYOD devices that would come through the T-Mobile doors could support our service. But we're working to obviously drive the industry forward in this area and we have a leadership position right now, globally.
John J. Legere - President, Chief Executive Officer & Director: I just want to point out that I think that Neville just successfully merged multiple quotes into smell the coffee, I mean...
Neville R. Ray - Chief Technology Officer & Executive VP: I need the coffee.
John J. Legere - President, Chief Executive Officer & Director: Smell the roses, get the coffee but it was pretty good, I mean, I'm sure it translates well. All right. So, here's what we are going to do? I'm going to have Mike rapid fire a few of the Twitter messages. But then I think we are pretty out of time. And what really caught my mind here is its very hard ignore a Twitter question. When it comes from the name of objectiviststoner @godless pothead, and I'm not – and there is no judgment here. Because I can tell by the question, it sounds like an employee but if your name is Godless Pothead you deserve to be spoken to. So, Mike, do you want to start with..
G. Michael Sievert - Chief Operating Officer: Yes, absolutely. Two or three quick ones. First on that one – that person asked when are the update to retail POS systems and other communications technology coming. I'd say this is an area where we're really, really excited about. We are rapidly rolling out tablet-based activation and care systems to our retail stores and in fact, redesigning our retail stores, so that we don't have those big counters separating our people from their customers. Our people want to be working collaboratively with customer side-by-side. They're actually doing a redesign of the entire retail format to enable Tablet-based selling and activation. The second thing we're doing is we're rolling out a breakthrough technology, developed by Neville's team called Grand Central. And this is an automated tech support solution that allows our people to go in and with single clicks, diagnose issues on people phones and instantly solve them. It is really exciting, we're using it in our care tech support. We're rolling that out to retail soon. And then next year, we've got a completely new system that's much faster and dramatically reduces the activation time. So lots of excitement there. Another questioner asked, what's going on with machine-to-machine. Because overall, you saw that we gained 2.1 million net ads this quarter. But one category if you saw in our disclosures was negative by a small number, negative 33,000 and that was machine-to-machine customers. And that one is pretty simple. We went out to our customer base this quarter and notified them that we are going to be putting more of our emphasis starting in 2016 on our LTE network and dedicating more spectrum to LTE and less to our 2G and edge networks. And that's caused some customers to have devices out there that they are looking at for next year – they might not have the network to support them by then. So they are moving those devices out. And I think that what we're going to see overtime is that most machine-to-machine deceives are going to be LTE devices. So we don't see this is a long-term issue for us. And our LTE customers are going to be very glad we're putting the emphasis on spectrum there. And another person asked, what about GoSmart and MetroPCS. Why do you have both brands? Shouldn't you simplify? And I say, they're actually quite different brands. GoSmart is a 3G brand and it's focused on multi-carrier distribution. So dealers and national retailers, where people can go and get a really great value on a very simple offer, and it's a 3G offer, and that helps us keep prices very low. MetroPCS on the other hand is our flagship prepaid offering. It's a high-value 4G LTE month-to-month offering at an incredible price. And it's focused mainly on dedicated distribution. T-Mobile store, I mean, MetroPCS store, so very different distribution, very different offers. So probably not merging those brands.
John J. Legere - President, Chief Executive Officer & Director: Okay. I committed to go 90 minutes and I think we're just slightly over that. So I'm going to stop here, we have the lot about of forums to communicate with the number of you, will keep a eye on the questions coming in. And I want to thank everybody for listening. And we are very excited about the quarter and look forward to talking to you next quarter if not before. Thank you, very much.
Operator: Ladies and gentlemen, this concludes the T-Mobile U.S. second quarter 2015 conference call. If you have any further questions, you may contact the Investor Relations or Media Department. Thank you for your participation. And you may now disconnect. Have a pleasant day.